Operator: Welcome, everyone, to Accsys Technologies PLC preliminary results presentation for the financial year ended March 31, 2025. Today's speakers are Dr. Jelena Arsic van Os, Chief Executive Officer of Accsys Technologies; and Sameet Vohra, the company's Chief Financial Officer. Jelena and Sam will take you through an overview of the business and financial performance for the year before we open the floor to questions. Please note that we will be prioritizing questions from analysts. With this, I would like to pass over to our speakers.
Jelena Arsic van Os: Good morning, everybody, and welcome to Accsys' Financial Year '25 Results Call. I am very excited and pleased to report that Accsys has delivered a strong set of results this year, marking a pivotal moment in our transformation journey. This encouraging trajectory reflects the growing momentum we are building across our core markets against the challenging macroeconomic backdrop. As some of you may know, in January 2025, we launched our FOCUS strategy, which is already delivering tangible results. Our EBITDA improved by 125% year-on-year underpinned by strong volume growth across all regions and powered by cost and pricing discipline. Underlying EBITDA from group core operations, excluding the joint venture, increased by EUR 8.3 million to EUR 16.8 million and 12.3% margin, demonstrating not only the absolute increase but also significant improvement of quality of earnings in our core operations. Accoya demand was solid. Volumes grew 13% around the globe with 16% growth in the North America. The double-digit growth across all regions against relatively soft macroeconomic conditions demonstrates Accoya's share gains and continuing trajectory of resilient product demand. Group revenues of EUR 136.6 million were in line with the previous year. Optically, this looks flat. However, we were able to fully replace the sales volume transferred to Accoya USA joint venture, driven by strong growth in Europe and other regions. North America represented 16% of the total Arnhem sales volumes in FY '24. A significant milestone this year was the successful international expansion of our operation with the commissioning of Accoya USA. This major capital project has been completed and with our strategic decision to discontinue Hull, we are actively derisking our profile by reducing exposure to large-scale CapEx commitments. Our local presence in North America positions us well to navigate ongoing geopolitical and macroeconomic uncertainties while capturing growth in this critical market for Accsys. Aggregated Accoya global revenues, including the joint venture, were at EUR 147.4 million, showing an 8% increase. We also demonstrated slight improvement in gross margin in FY '25, landing at 30.3%, coming from favorable sales mix, operational efficiencies and continued discipline in pricing. In FY '25, we reaped the benefits from our leaner and simplified operational model. In total, we delivered operational cost savings of EUR 4.6 million arising from program -- from transformation program and the Solid Roots operational efficiency initiative in Arnhem, exceeding our target of EUR 3 million communicated last year. We also saw a cash flow improvement to EUR 8.8 million from EUR 3.7 million last year. Our balance sheet has strengthened, driven by improved profitability. While our net debt increased compared to the prior year, reflecting higher investments in joint venture and inventories to support robust demand for our products, a position of strength as we continue to grow. Leverage ratio improved from 4.4x to 2.5x, highlighting good progression in deleveraging the business. Last but not least, funding is in place to support future growth prospects. In March, the group signed an 18-month extension to its primary debt facilities with ABN AMRO extending the maturity to 30th September 2027. Our good performance this year is a clear signal that our disciplined approach and sharpened strategic focus are working, yielding early successes as we are delivering what we promised. Looking ahead, we remain confident in the long-term potential of our technology and strategy. We have a clear road map and a sharper, more resilient platform to accelerate growth and continue delivering sustainable value to our stakeholders. Before closing this slide, I wanted to take the opportunity to sincerely thank the entire team across Accsys and Accoya USA. This has been a transformational year. The engagement, commitment and hard work of our people have been instrumental to our progress. To my team and all our employees, thank you for your dedication. Your efforts continue to drive our success and position us well for the future. With this, I will hand over to Sam to talk you through the financials in more detail.
Sameet Vohra: Thank you, Jelena. Over the next few slides, I'm going to talk you through the financial results for the year in more detail. This slide summarizes the strong financial performance for the year. I'll go into more detail on a number of the financial metrics shown in the next couple of slides, but highlighting some of them now. Group sales volumes were up 1% to 57,104 cubic meters compared to the prior year with a further 6,760 cubic meters coming from the Accoya USA joint venture following its commercial start-up in September 2024. Hence, total sales volumes were up 13% year-on- year, reflecting the significant global market demand for Accoya. Group revenue was in line with the previous year, but this was more of a feature of the transfer of sales to the JV during the year. Hence, aggregated revenue, which includes 60% of the revenue of the JV, was up 8% to EUR 147.4 million. The gross margin was 30 basis points higher than the prior year at 30.3%, which is above the target that we have set. Underlying operating costs, excluding costs associated with the Hull plant, were down year-on-year by EUR 4.6 million, reflecting the benefits from the business transformation program and Solid Roots efficiency initiative. Underlying EBITDA, which excludes the results of the joint venture, nearly doubled to EUR 16.8 million from EUR 8.5 million in the prior year and a 610 basis point increase in the margin to 12.3%. Adjusted EBITDA, our main profitability performance measure, was up by 125% to EUR 10.8 million and a 380 basis point increase in the margin to 7.3%. Net debt at 31st of March 2025 stood at EUR 42.6 million, reflecting a leverage ratio of 2.5x. I'll discuss the changes in revenue, profitability and net debt in more detail in the coming slides. Total Accoya sales volumes were up 13% against the backdrop of a challenging building materials market impacted by macroeconomic challenges. We saw a particularly strong performance in the U.K. and Ireland, our largest market by sales volume, we saw a 27% growth and also in North America, which was up 16%. North America sales are fully transferred from Arnhem to the U.S. joint venture facility in Kingsport, following its commercial start- up in September 2024. And we have fully replaced the sales volumes transferred from Arnhem to Kingsport during the year. We also saw good growth in France and Northern Europe during the year with the rest of Europe sales up 16%. We also continue to see strong growth momentum for our Accoya Color product with sales volumes up an impressive 34% year-on-year, and this makes up an increasing proportion of our sales volumes. This has a positive mix effect given its premium price point. Accoya for Tricoya sales volumes were in line with the prior year at 17,344 cubic meters. This represents 27% of total sales volumes and reinforces our belief in the long-term market potential for Tricoya panel products as we are able to use lower-grade wood and also use offcuts from the production process in both Arnhem and Kingsport, thereby reducing waste. Jelena will provide more details on our end markets later on in the presentation. Going into more detail on our revenue performance for the year. As I previously mentioned, group revenue increased by 1% to EUR 136.6 million, whilst aggregated revenue increased by 8% to EUR 147.4 million. During FY '24, group revenue to North America from Arnhem amounted to approximately EUR 25 million. And in FY '25, prior to the commencement of commercial operations of the joint venture, North America revenue from Arnhem was approximately EUR 10 million. This change, therefore, represents a year-on-year reduction in revenue of EUR 14.9 million or 5,266 cubic meters, which is now fully transferred to the JV. Offsetting this reduction, volume and revenue growth from all other regions fully replaced the volumes transferred to North America with growth of EUR 16.7 million in revenue and 5,803 cubic meters in volume. Whilst the average sales price at Accoya was 1.7% lower than the prior year, this reduction was a one-off feature arising from the transfer of volume to the joint venture as North American sales commanded -- command a higher average selling price than the Rest of the World. Based on total sales of Accoya worldwide, the ASP increased by 1.2% and shows our continued focus on maintaining premium pricing. License fee and royalty income from the JV was EUR 1.3 million higher than the prior year as the group receives a royalty based on sales made by the JV. Acetic acid sales were slightly lower than the previous year but this was a feature of better acetic anhydride usage in the production process, thereby leading to lower volumes of acetic acid for sale with a slightly lower market price. The gross margin improved by 30 basis points to 30.3%, which is above the target that we have set as part of our strategy. I mentioned the JV effect on pricing and the license fees and royalties we received from the JV on the previous slide. But we also saw a benefit of EUR 1 million in raw material costs during the year with favorable wood purchase pricing, particularly on wood chip grade raw wood and lower acetic anhydride usage in the production process. The change in direct labor costs represents the annual pay rise that we give to our staff. And maintenance costs were lower following the CapEx investments made in prior years and an increase in the operational efficiency of the Arnhem plant. This slide shows the adjusted EBITDA progression during the year, reflecting the strong financial performance. The gross margin benefit to EBITDA amounted to EUR 0.5 million and we realized operating cost improvements of EUR 4.6 million arising from the business transformation program and Solid Roots operational efficiency initiative exceeding our target. Non exceptional operating costs associated with Hull amounted to EUR 2.1 million prior to the business being placed in voluntary liquidation in December 2024. This is lower than the EUR 5.3 million of costs in the prior year, and hence, there was EUR 3.2 million improvement in year-on-year profitability related to Hull. Going forward, we will see annualized cost savings of EUR 3 million a year following the discontinuation of Hull. The share of EBITDA loss for the JV for the year was EUR 6 million, EUR 2.3 million higher than the prior year due to the pre- revenue phase and costs associated with the ramp-up of production. Overall, adjusted EBITDA increased by 125% from EUR 4.8 million to EUR 10.8 million, a particularly pleasing result, with a margin improvement by 380 basis points to 7.3%. From a segmental perspective, EBITDA from our segment -- our Accoya segment increased to EUR 22.7 million, which is a very strong performance with a healthy margin of 16.6%. This growth is primarily due to the improvement in gross margin and lower operating costs arising from the business transformation program and Solid Roots initiative. Corporate costs amounted to EUR 3.8 million and were EUR 0.9 million lower than the prior year. Therefore, underlying EBITDA, excluding the JV, increased by 99% from EUR 8.5 million to EUR 16.8 million. The margin improved by 610 basis points to 12.3%, reflecting the strong underlying profitability of the group. As I mentioned before, adjusted EBITDA increased by 125% from EUR 4.8 million to EUR 10.8 million. This slide shows the evolution of net debt during the year. Net debt at the end of March 2025 stood at EUR 42.6 million, an increase of EUR 5.5 million compared to the start of the financial year. And we saw a strong improvement in free cash flow to EUR 8.8 million, up from EUR 3.7 million in the previous year. We experienced an increase in net working capital of EUR 7 million in the year, of which EUR 5 million related to higher inventory levels. This increase in inventory was planned to ensure product availability to support strong demand and customer service. Accordingly, operating cash flow conversion was 64% compared to 84% in the prior year and tight working capital management remains a key area of focus for us. We made planned investments of EUR 14.5 million into the Accoya USA joint venture as it completed its pre-operating activities and commenced commercial operations in September 2024. Maintenance CapEx was EUR 1.9 million during the year, in line with Phase 1 of our strategy, and interest paid and accrued amounted to EUR 4.3 million, of which EUR 2 million relate to interest on the convertible loan notes. The ABN AMRO primary debt facility was extended by 18 months to 30th of September 2027 during the year, thereby securing financing for our strategy. Debt reduction and deleveraging the balance sheet remains a key priority area of focus for us and leverage reduced from 4.4x to 2.5x at the end of March 2025. So in summary, we saw a strong financial performance in FY '25. Total sales volume growth was 13% against the backdrop of a challenging building materials market impacted by macroeconomic challenges. Adjusted EBITDA was up 125% to EUR 10.8 million with a 380 basis points improvement in margins of 7.3%. And we saw good growth in free cash flow generation with a continued focus on deleveraging the balance sheet. I'd like to now hand you back to Jelena, who will take you through the business review.
Jelena Arsic van Os: Thank you, Sam. As we unveiled in early 2025 at our Investor Strategy Day, in this financial year, we have a new company strategy in place with a clearly defined road map and targets. We call it a FOCUS strategy. It is transforming Accsys to a fundamentally strong, more operationally efficient, more customer-centric, united, safe and sustainable business. By fundamentally strong, we refer to continuous progress on financial and operational targets. We have shown progress lately, and we will continue to build credibly. Operationally efficient is all about getting the plants and functions to operate like a Swiss clock. Customer-centric is a story of growth. As a premium product, we will focus to deliver premium service and experience to our customers. United team of highly skilled professionals and performance-driven teams is there to execute on the plan; and finally, safe and sustainable, leading the way in sector. We've seen strategy delivery to be along three phases. The first phase, that is resetting and transformation of the company, started last year and will last until the end of FY '27. It will focus on resetting operationally, maximizing returns and cash flows from the operation and reinforcing the fundamentals, including reduction of the debt and optimization of our capital structure. Second phase is all about getting the plants to their maximum capacity, extracting the efficiency with the minimal investments. We do, however, expect Accoya Color to be produced in the U.S. if the market pool continues to be strong as we see today. So making the footprint optimization with Accoya Color is planned in this period. We will stay laser focused to deleverage further. Executing on Phase 1 and 2, the company will be in the position to fund the future growth we expect will be in the U.S. given the size and the profitability of North American market. For each stage, we have a set of clear targets. For the end of FY '27, we are targeting a run rate of 100,000 cubic meters in volume, which would be broadly doubling the volumes of 12 months ago. In FY '25, we've grown 13% overall with 16% in North America. Looking at the run rate of the Q4 FY '24, we are on a good trajectory to deliver on this target. Accoya pricing from the market perspective increased 1.2% year-on-year globally, including the joint venture in the U.S. that we are not fully accounting for in our statutory reporting. Further increases have been communicated to the market in Q1 this financial year in both U.S. and Europe. 12% EBITDA target from today's 7.3% and 3.5% in the financial year '24 is relying on keeping a pricing discipline and gross margin on 30% mark and a cost discipline. And of course, with rigorous focus on operating working capital, we target to deliver 75% operating cash flow conversion going forward. As a big part of our FOCUS strategy is about making the most out of assets we already have, driving sustainable profitable growth from our core sites in Arnhem and Barry. We made very positive progress this year at our Arnhem site. We continue to focus on efficiency improvement through our Solid Roots program. We achieved a target of improving the efficiency of our key equipment using the manufacturing process by 500 bps, continuing to the operational savings we have delivered this year. Plant is reliable and producing well. Our Arnhem site is also home of our research and development facilities where we continue to invest in innovation and the future of our products. This year, we invested EUR 1.2 million, primarily in research into alternative wood species and a fire retardancy solution. At Barry, our Wales production site, where we produce Accoya Color, we have had a very good year. Accoya Color sales have seen exceptional demand with 34% year-on-year sales volume growth for our premium product. It is proving very popular for cladding and decking applications. To meet this demand, we have invested in a new planing facilities to support quality assurance and to enable to profile our wood boards in-house. We have also added a second shift, which started this month. This will give us an opportunity to increase the capacity to capture this growth potential that we encounter across the regions. With the transfer of sales to North America, we are focused on driving sales volume growth to fill in the capacity in Europe and meet our strategic targets. We are making very good progress despite continued macroeconomic uncertainty. Some highlights that Sam mentioned include 27% growth in the U.K. and Ireland, our most established market, as we continue to build our strong reputation for joinery applications and gain more facade specifications. Across the rest of Europe, we grew sales 16% year-on-year with several countries beating the average. We began to see a recovery in the DACH market where macroeconomic headwinds have persisted for longer. In France, we had very promising growth, which benefited from a pilot of a new finished decking product that we will officially launch this financial year. And in the Netherlands, we saw stronger growth with the reintroduction of Accoya in windows and doors market. Across the Rest of the World, we saw 11% growth with particular bright spots in Australia and New Zealand as our partnerships with our distributors continue to develop and expand our presence. This year, we have also taken the opportunity to refresh our branding, enhancing our premium look and feel with smarter new color pallets, as you can see it in this image. Finally, as I mentioned, we will be launching a new finished decking product later this year. This will be the first time that we offer a finished product to the market and is an exciting new development for Accsys. In September 2024, we hit a major milestone with commercial operations commencing at our joint venture, Accoya USA, where Accsys is holding 60% ownership and Eastman Chemical company the remaining 40%. This was our first international expansion for Accoya production and provides us with a local manufacturing base for the very attractive North American market, of which we estimate the addressable market to be 8.6 million cubic meters, of which we have less than 1% of market share currently. The plant is running well, producing high-quality products to the same standard as our Arnhem facility. This opening has been timely. Given global trade tensions and the geopolitical environment, while we are continuing to monitor developments closely, we are currently in a good position. As lumber is a key material for the U.S. market, our raw material imports are exempt from any tariffs and the site enable us to serve North American customers with a locally manufactured product avoiding at this moment any import taxes. Last but not least, we have capable and determined Accoya USA team under the leadership of Rod Graf that is giving us the confidence in the success of Accoya USA going forward. To support the new plant in the U.S.A., we have been working hard to ramp up distribution and brand awareness. We've strengthened our sales and marketing teams, tripling our team hires, and we have deepening relationship with existing and the new distributors. Two new distributors came on board earlier this year and 2 more signed just this week. Last year, we grew sales by 16%, and our aim is to accelerate this growth as we continue to build positive momentum and move beyond the early ramp-up stage. We have a clear strategy in North America. We are aiming for thorough coverage in the core sales area of California, Texas, Florida, New York and East Coast. At the same time, we are focused on creating greater brand and digital visibility and the customer education to generate demand. Our focus is on replicating the success of the architects education program we have run for several years in our mature markets. As part of this, we are delivering weekly training sessions with the key architect firms. We are also focused on ensuring our product has all the necessary credentials. It has been Cradle to Cradle Certified, contributes to the U.S. Building Council (sic) [ U.S. Green Building Council ] LEED system, and it's crucial that we have achieved a Wildland-Urban Interface fire classification rating enabling us to be used in cladding applications in areas at risk for wildfire. I also want to take the moment to focus on some of the incredible projects where our products have made a real impact this year. The versatility of Accoya means that it has been used in a huge mix of projects from new builds to historical restorations. We are especially proud to see Accoya featured in the heart of New York City, where it was chosen for the restoration of the historic Bow Bridge in Center Park. With the high footfall and exposed to the elements, Accoya decking was chosen for its durability and stability. Also in the U.S.A., Accoya was specified for the boutique MOLLIE hotel in Aspen, Colorado. Located in a ski resort, the hotel faces extreme conditions, snow, cold and intense sunlight, making the durability of Accoya a key factor in its specifications. For the same reason, Accoya decking was selected in Hotel Flashcenm in Swiss Alps. Accoya cladding continues to be very popular choice in dark gray and natural finishes. It's been used for private residencies around the world, offices for multinationals like ABB in Switzerland in a large commercial development. One standout example is Willowburn Retail Park in the north of England, where Accoya cladding is used on retail spaces for brands like Marks & Spencer, Mountain Warehouse and V&M. Accoya was chosen here for its sustainability, durability and its natural appearance, complementing the countryside settings. We have lots more high-profile projects coming to completion, including the NEMO Museum new rooftop decking in Amsterdam. For our Dutch attendees, hope you will have a chance to witness beauty of our products next time you visit NEMO with your kids. At Accsys, as well a focus on sustainable profits, we are focused on building a sustainable future for our people, our communities and the planet. This year, we are proud to have sourced 100% of our raw wood from certified sustainable sources like FSC. And as we grow, that commitment stays strong. We also achieved a big increase in our S&P Corporate Sustainability Assessment, up 11 points. That puts us in a top 20% of companies in our sector, which is, given our size, a significant progress, and it's thanks to steady progress across environmental, social and governance areas. Sustainability isn't just about planet. It is about people, too. We've been investing in well-being with new workshops in Arnhem, introduction of the more ergonomic working environment in the office in London, and we have launched a Technical Training Academy to help our operations teams grow. Our new online learning system is also making it easier for everyone to keep learning no matter their role. We also stayed active in our communities, too, like taking part in the Mega Wandel Marathon in Arnhem that promote inclusiveness and supports children and people with a handicap. It was very heartwarming to spend time with our colleagues in this amazingly organized event. And inside the company, we are listening. After a period of significant organizational realignment, we are committed to work on making Accsys a better place for everybody. This year's engagement survey showed 84% of our workforce feel their work has a clear sense of purpose. 73% of our team are satisfied in their roles and 72% feel proud to work here. We will use the results of this survey to continue working actively to improve and build our employee value proposition. Looking forward, we are encouraged by the positive start of the year. Whilst noting continuing macroeconomic challenges, Accsys is confident it will continue to deliver sales for the year ahead, consistent with the Board's expectations. The group's resilient premium pricing and operational leverage continues to support sustainable margin progression. The FY '25 results have demonstrated the benefits of Accsys' strategic plans and disciplined execution. Having successfully expanded our geographic footprint, the group's focus is on accelerating sales and capacity utilization, further driving profitability improvements. As a final message for our shareholders, analysts, employees and other stakeholders in the audience, I would like to reiterate. Our company is at inflection point. We are not just selling wood for making beautiful, long-lasting and long maintenance windows, doors, cladding and decking. We are enabling a global shift towards sustainable building. Our markets are large, and our demand is growing. Our technology is proven and protected. Our plants are scaling, our efficiencies are improving. We are very well positioned to lead the transformation of the multibillion euro construction and materials industry. Accsys remains a focused industry disruptor, staying true to our purpose of changing the woods to change the world. We are offering an opportunity to the world to build smarter and to build better. I want to thank you all for your attention today. Now we will be open for questions.
Operator: [Operator Instructions] We will now take the first question from the line of Martijn den Drijver from ABN AMRO. We will continue with the next question from the line of Adrian Kearsey from Panmure Liberum.
Adrian Mark Kearsey: Congratulations on the results, guys. A couple of questions from me. In terms of North America, you talked about tripling the size of the sales team and also adding new distributors. How quickly does it take a salesperson to get up and running to start educating people because it's quite a complicated sort of sale? And then the second question. In order to drive the growth, presumably, you're going to need to invest in some stock in order to make sure you can satisfy demand as it comes through. So what level of stock investment should we anticipate over the coming year?
Jelena Arsic van Os: Thank you, Adrian. I'm going to take the first question, and then I will leave to Sam to answer the second one. As I already said, we are investing quite a lot in our commercial organization in the U.S. And because our team is quite diverse, and they have also the focused role in the sales process, we are confident that we can put a salesperson up and running within a couple of months to be capable of doing a really productive job in terms of sales. Of course, the sales that we are making is going through the distribution channel and our distributors, we have quite a lot of distributors that are quite experienced with our product. So that is -- that has the opportunity of scaling faster. And with the new distributors, we are focusing the attention of our most experienced people to engage and onboard the new distributors. So it does take a couple of months, but process is well managed, and we already kind of did it a couple of times. So we feel positive about it.
Sameet Vohra: So in terms of inventory, clearly, wood being a natural resource, there's no issues around obsolescence, but we target holding about 3.5 months of raw wood in stock and about 1.5 months of finished goods so that we have availability for meeting customer demand and good customer service.
Operator: We will now take the next question from the line of Martijn den Drijver from ABN AMRO.
Martijn P. den Drijver: Can you hear me now?
Jelena Arsic van Os: Yes, very good, Martijn.
Martijn P. den Drijver: Okay. Good. I just wanted to expand -- I have four questions, two big topics and two smaller ones. I'll do them one by one. You mentioned in the press release a good start of the year, but we've obviously had Liberation Day on April 2. So could you talk a little bit more about the behavior of customers and distributors after the end of the fiscal year going into, well, basically this quarter? And also, could you touch a little bit upon inventory in the different regions? And specifically, the distributors that you added in fiscal 2025, what are you seeing there? Are they scaling up as expected? Is it slightly slower? Is it slightly faster? That would be my first question.
Jelena Arsic van Os: So as we already said, we are encouraged by the positive start of this financial year. As we already mentioned in the presentation, Martijn, we were able to replace the volume from North America in Arnhem already during the last financial year, as we already reported. And we see our order books being on a healthy level for the quarter 1. Our visibility is only couple of months, we don't have a longer visibility than that. In the North America, we are seeing also a step-up in demand. It is coming from multiple sources. The one is because we have more distributors so they are building their own stock. But we are also measuring sales through our distribution -- existing distribution channels, and we are seeing a consistent outflow, if you like, of the inventory to the marketplace as well. So it is -- we are seeing encouraging step-up in the U.S. And if you are asking me if they are really stocking quite a lot, they are -- the distributors in the U.S. is trying to be at the minimum stock level as they can. And why is that? Because having local production in the U.S. is basically reducing the supply chain time from getting the product from the production to your warehouse. And one of the positive news for our distributors in the U.S. was having that local production, they will not need to hold months and months and months of stock in order to have the product available. So, so far, as Sam said, usually, we are holding around 1.5 months of finished good stocks and our distributors will hold also around a month of stock in their warehouses ideally. Of course, new distributors are putting a little bit more because there is, of course, quite a lot of push for them to accelerate and get us the first sales coming out of the new sales channel.
Martijn P. den Drijver: Clear. And my second question is with regards to pricing. You mentioned resilient premium pricing. But you've also said in the past that perhaps a more flexible approach would be needed, particularly in the U.S. How do you think about that resilient premium pricing today? Do you think you need to move a little better on that in the U.S.? And what are your plans for Europe where we still have a bit of wage inflation as well? So just perhaps a bit of color on the pricing, please.
Jelena Arsic van Os: Yes. So as you already know, we committed to -- in our long-term -- mid- and long-term targets to keep our gross margin on 30% and of course, to build up that margin, you can build it up in a -- you have different levers that you can pull. Of course, pricing for us is very important because every percentage in price, of course, up and down runs directly to the bottom line. So we are very careful about it. Well, that does not mean that we are not having every now and then a very focused discount, if you like, on a specific product range or a specific size in order to help marketing and commercial efforts in each region. Now in the U.S., as you remember, we had last year a discount program in place for the U.S. as a part of the start-up of the new plant to help the volumes building stronger through our facilities. Now we have actually announced the price increase in the U.S. starting from July 1. And we are also seeing that our order book is building also after July 1 on the sustainable rate. So of course, we have to adjust for the -- all the inflationary pressures we are seeing in the marketplace. But again, if necessary and when necessary, we do have very focused discounts in place that are helping us to manage our mix and our portfolio.
Martijn P. den Drijver: Clear. And two questions for -- smaller ones for Sam. I read in the press release that if you add it all up, there's over EUR 740 million in auditor fees, and that is excluding assurance fees. Was there a bit of a one-off element in that because it is a quite high level for the size of the company? That's question one. And the second one is the liquidation of Tricoya Hull, it's not going to be a big advantage, but do you think there's going to be a tax advantage in the Netherlands given the recent High Council ruling?
Sameet Vohra: Okay. Thanks, Martijn. Yes. I mean audit fees, I hope the audit partner is not listening in, but yes, yes, I mean the audit fees are high, but really you've got a couple of features there because it is linked into the amount of work. Yes, this is now the first year that PwC eventually had to do an audit of Accoya USA. It's in its post-construction phase now, it's trading. So hence, the level of audit work is beyond the construction projects to now an operating company. So there are costs associated with that. Plus there is clearly audit work that needs to be done in terms of Hull, for example, and [Technical Difficulty] areas like that. So I mean, yes, I mean, you've got ups and downs. You've got things that are then going to drop off like, for example, Hull is gone, but then you've got, as business ramps up in North America, you've got audit fees associated with that. In terms of tax optimization, yes, I mean there were substantial losses associated with Hull, but you've got to sort of remember from a U.K. tax perspective, those Hull losses are within the Tricoya U.K. Limited legal entity, which was passed to the liquidator and placed into voluntary administration in December. So those losses are no longer part of the group because we see the control of that business as part of the liquidation process. But we are constantly looking at optimizing our tax structure and we're looking at very significant profitability in the Netherlands and also especially an overall net cost in the U.K. and how we can optimize that from a tax perspective, particularly taking into account recent rulings in both countries about tax rates.
Operator: We will now take the next question from the line of Johan van den Hooven from Edison Group.
Johan van den Hooven: A few questions from me. The first one about the EBITDA development of the U.S. JV, we had a loss of EUR 6 million. And of course, I'm curious when you're looking at sort of to reach breakeven. Second question is the relation for -- that's for Tricoya, further developing Tricoya. Can you tell us a bit more about the relation with Medite and Finsa, how they're further developing the business? And last question for now is, can you tell us a bit more about that new finished decking product. Jelena said it's completely new. So tell us a bit more about how you'll distribute this product?
Sameet Vohra: Thanks, Johan. I'll take the first question, and then Jelena can answer questions 2 and 3. So yes, the JV, I mean, our share of the loss was EUR 6 million for the financial year. So the gross loss was EUR 10 million, of which our 60% was EUR 6 million. Clearly, that relates to the pre-revenue phase. I mean, the plant started commercial operations in September 2024. And then there are costs associated with the ramp-up of production in that time. So we -- like any startup business, we fully expect it to be -- to effectively make a loss in its first year commencing startup, but really for this new financial year FY '26, we expect it to at least breakeven and really show some more profit.
Jelena Arsic van Os: And Johan, for the Tricoya and the relationship with Medite and Finsa. As you saw from our financial year results, Tricoya is representing around 30% of our sales volume historically. This year, it was also in that ballpark, 27%, slightly lower than in the previous year. But Tricoya is remaining. It's a very important product range for us. And it is remaining -- it is going to remain in our portfolio, and we are having a very strong relationship with both Tricoya partners, Medite and Finsa. They are both one of the largest actually customers that Accsys is having in their portfolio, and we are continuing to develop a very specific premium product with them. They have their own brand that are linked to the Tricoya panels, and we are just continuing to do what we always did with Tricoya. So in that sense, Tricoya is staying with us, and it is an important part of our product portfolio. About the finished decking product, we are going to distribute the finished decking product through our existing distribution. What does it mean to finished decking product? We have introduced the planning facilities in Barry so that are helping us to produce basically ready-to-use planks for the decking portfolio. We did also a proper marketing campaign, and we are going to launch this in Europe, tested it in France, it went very well. So we are now going to launch it in Switzerland, in the Netherlands and also in the U.S.
Operator: We will now take the next question from the line of Alastair Stewart from Progressive Equity Research.
Alastair Robert Stewart: I've got a couple of questions. The first one is slightly broader, the second one is on working capital. But on the first one, it's based on the U.K. and Ireland, and there's very -- implies a 27% volume growth. The result statement said that was due to the additional capacity, giving customers confidence in supply and availability. Can you give any indication of how much was the underlying markets as it were and how much was the change in capacity? And looking forward to the U.K. and Ireland, both countries have very ambitious housebuilding targets. The U.K. one was mentioned in the recent spending review. How much -- and the U.K. was very much based on affordable housing. What sort of opportunity for growth do you see there? And I'll go on to -- I'll go into the next question for Sam presumably after that.
Jelena Arsic van Os: Now what we -- what you rightly noticed is that our sales in U.K. and Ireland grew 27% year-on-year, which was quite remarkable and far above the market rate in the U.K. and I will comment about the U.K. market expectations in a second, but just to clarify a little bit that we believe that most of this volume growth is basically coming from us regaining the market share and not necessarily being heavily supported by the market -- underlying market dynamics. And why is that? If I look also on the volumes that we have been selling in U.K. and Ireland, for instance, in '22, they were even on a higher level than when we are -- what we are selling today. So there is still room for us to basically regain what we probably lost over the last -- gained the market share that we lost in the last few years. Now looking at what is happening with the market, housing market in the U.K., we do see the housing market continued this gradual slowdown. I think the economic pressures are very high. The high interest rates or the Bank of England now not really reducing interest rate was not really very helpful but that bill that was announced for helping the affordable housing and social housing can be an opportunity for us. And why is that? Because if you're having a big project where really the low cost of maintenance can make a difference for the developer or for the investor, materials like Accoya can and they do play a quite important role. As you already know, our product, they do have quite a good value in use and an excellent choice if you are looking for the low maintenance spend over the years, which is exactly what the companies that are working on social housing and affordable housing are working on. So total cost of ownership in our case is very positive, and we hope that -- and we will work very hard, not only hope, but work very hard to get some of these projects on our portfolio as well.
Alastair Robert Stewart: Great. And for Sam, you've referred to the working capital increase being down to product availability. Has that process run its course? And from here on, working capital will move more in line with underlying revenue growth?
Sameet Vohra: Yes, Alastair, that's absolutely right. I mean, given the long lead times of raw wood, where we are primarily sourcing from New Zealand and wood could be on a boat anything between 8 to 10 weeks, that's why we have to maintain that, broadly speaking about 3.5 months of raw wood in stock. So yes, absolutely. As we grow, then I would expect to see a working capital cash outflow in terms of inventory but not like the same level that we saw in FY '25 of EUR 5 million, where we want to sort of maintain it and also now with the North America plant then we don't need to hold as much inventory as we would otherwise have had to do for North America.
Operator: Thank you. There are no further questions at this time. I would now like to turn the conference back to Dr. Jelena Arsic van Os for closing remarks.
Jelena Arsic van Os: Thank you very much. So just to have a couple of last final words on our financial call today, the financial year '25 was a very pivotal year for Accsys and an inflection point in our transformation journey. It was marked by strategic clarity, operational delivery and a robust commercial momentum. And while we are noting continuing macro and geopolitical challenges, we are positive about future we are building. So thank you very much for all of you joining our call today. Thank you very much for your questions, and thanks to my team and everybody on helping us deliver this result. We will now close the call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.